Operator: Good day, ladies and gentlemen. Welcome to CenturyLink's Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Tony Davis, Vice President of Investor Relations. Mr. Davis, you may begin.
Tony Davis: Thank you, Saeed. Good afternoon, everyone, and welcome to our call today to discuss CenturyLink's fourth quarter 2015 results, released earlier this afternoon. The slide presentation we will be reviewing during the prepared remarks portion of today's call is available in the Investor Relations section of our corporate website at ir.centurylink.com. At the conclusion of our prepared remarks today, we will open the call for Q&A. As you move to Slide 2, you will find our Safe Harbor language. We will be making certain forward-looking statements today, particularly as they pertain to guidance for first quarter and full year 2016 and other outlooks on our business. We ask that you review our disclosure found on this slide, as well as in our press release, and in our SEC filings, which describe factors that could cause our actual results to differ materially from those projected by us in our forward-looking statements. Moving to Slide 3, we ask that you also note that our earnings release issued earlier this afternoon and the slide presentation and remarks made during this call, contain certain non-GAAP financial measures. Reconciliation between the non-GAAP financial measures and the GAAP financial measures are available in our earnings release and on our website at ir.centurylink.com. Now, moving to Slide 4, your host for today's call is Glen Post, Chief Executive Officer and President of CenturyLink. Joining Glen today will be Stewart Ewing, CenturyLink's Chief Financial Officer. Our call today will be available for telephone replay through February 18, 2016, and the webcast replay of our call will be available through March 3, 2016. Anyone listening to a taped or webcast replay or reading a written transcript of this call should note that all information presented is current only as of February 10, 2016, and should be considered valid only as of this date, regardless of the date heard or viewed. Moving now to Slide 5, I will now turn the call over to Glen Post. Glen?
Glen Post: Thank you, Tony, and thank you for joining our call today as we discuss our third quarter 2015 results of operations and provide guidance and outlook for the remainder of 2015. Thank you, Tony, and thank you for joining our call today to discuss our fourth quarter results, make a few remarks about 2015 and discussed 2016 objectives and our guidance. Beginning on Slide 6, 2015 was really a year of two very different halves for CenturyLink's. In the first half, our sales and revenue trends were softer than we had anticipated. Entering the year during the 2014, as part of our ongoing review of our business, we had identified an opportunity to improve the structure of our sales force and we begin to implement this change in late 2014. Our sales organization realignment was more complex. It took longer than anticipated in mid-year operating expenses were out of alignment with our revenue outlook for the remainder of 2015. We began to take aggressive corrective action in the second half the year and the benefits of the realignment along with the new leadership began to take hold. We improved our overall sales performance and we increased our sales funnel opportunities and enhanced our revenue trends. At the same time, we were also successful in taking cost out of the business. We reduced planned operating expenses in the second half of 2015, but more than $125 million than the $125 million target we had set in August. These actions helped us deliver very strong results in the fourth quarter, revenues, cash flows and adjusted earnings per share, all exceeded expectations for the quarter. As we will highlight in more detail later in the call, we saw good performance from our consumer segment during the quarter. Growth in Prism TV customers, along with higher average revenue per customer drove year-over-year consumer revenue growth. Also, for fourth-quarter, business high bandwidth data services grew approximately 9% year-over-year. Overall, we achieved significant improvements in the second half 2015, compared to the first half of the year. Continuing on now to Slide 7, we also continue to focus on driving higher speeds across our network as we enter 2015 with 940,000 GPON addressable households and 490,000 GPON addressable businesses and we provided more than 30% of our service area addressable units with speeds of 40 megabits or higher. We believe that is the speed that in the marketplace is sufficient to address most of our customers' actual needs. Additionally, we completed our $1 billion share repurchase authorization in early December, and we returned a total of $2 billion to CenturyLink's shareholders in 2015 through dividends and share repurchases. As you know in early November, we had announced we were beginning a strategic review process of our data centers and colocation business. This decision is made as part of our continued efforts to proactively manage our portfolio of assets, to best position the Company to compete, to achieve profitable growth and drive our shareholder value. We made good progress with process. Since our November announcement, we have established a separate data center/colocation organization, including a separate management team. We are also nearly complete with carve-out [ph] financial statements for our data centers in collation business to provide potential acquirers our partners and we spoke to a number of interested parties who expressed interest in all options ranging from an outright purchase of our data centers and co-lo business, a partnership and/or a joint venture. This is an ongoing process that could result in any one of these outcomes, including the potential sale of a portion of or all of our data center business. Also, as we have said, we could ultimately choose to retain these assets and related operations. As we outlined in November, we believe, in the macro trends of the data center location industry and the importance of the service in our hybrid IP solutions, but we do not believe we must own the colocation facilities to provide the full range of services our customer needs to manage variety of functions. We expect to fully engage interested parties within the next two weeks or so. Continuing now to Slide 8, as we enter 2016, we thought it might be useful to share with you a broader view of how we think about our business and operational focus for 2016 and beyond. First, I think it is important that we declare for our sales while we are here, what we are trying to accomplish and what we are trying to accomplish as an organization. For us that purpose is to improve the lives of our customers by connecting them to the digital world whether it is providing connections or services on top of their connection, using the power of the digital world to improve our customers' lives and businesses is really what we are all about. We expect to accomplish this purpose through a two-part mutually reinforcing mission. First, we provide our customers a gateway to the digital world by enabling fast, highly reliable broadband connections that are automated and easy-to-use. We also have significant opportunity to take a leadership position on this front and our principle focus going forward will be to provide our customers with very best network experience. Second, we will complement our strong access position by deploying less capital-intensive investments, higher growth solutions to deliver our customers a full range of technology-focused services such as managed network and hosting, cloud IP services and video along with over-the-top applications and content and we believe this approach will allow us to deliver the full range of services. Our customers are also allowing us to prioritize capital to improve the network services offerings are at the heart of our customer relationships. Continuing on Slide 9, looking at our purpose from a financial point of view, our focus is to create long-term shareholder value through both, revenue growth and strong cash flow generation. I want to emphasize this last point. The focus of our business is to drive long-term free cash flow generation that enables us continue to invest in our business and sustain our strong dividend and we will prioritize our investments and operational initiatives to support that outcome. We believe we can accomplish our goals through focus on three key operational initiatives. First, we will maximize market penetration of our network and adjacent services to drive growth. To accomplish this, we plan to maximize penetration in areas where we have invested in and enabled broadband capabilities. We will also continue to focus our investments on enabling fast, reliable broadband connectivity and we will enable other technology-focused solution such as managed network, hosting cloud, IP services and video, using capital-efficient solutions and partnerships. Our second key initiative is to create exceptional customer experiences. As part of this effort, we plan to simplify our products, our processes and our systems and we will continue our evolution to a single orchestration layer that automates the end-to-end customer experience, enable to access the complementary services for multiple providers. Now, this will take time, but we have a roadmap in place to significantly improve our customer experience over the next couple of years. Finally, we deploy a discipline approach to our operating capital investments to deliver profitable growth, first, by investing more capital to enable high bandwidth network connectivity and pursuing capital line investment approaches for our complementary adjacent services. Allocating capital based on the best returns on investments, in opportunities. Key strategic objectives will be key; we also expect to gain revenue and operating expense efficiencies and improved cash from operations through more aggressive systems consolidation, automation and process improvement. We have a clear strategic direction, and we believe by focusing on these operational areas, we will be able to build CenturyLink's strong foundation and deliver value for both, our customers and our shareholders. While we are focus on specific actions to drive sales revenue growth of our strategic product and service in 2016 and beyond, we expect to drive further penetration of our consumer business and GPON footprint of over 900,000 households almost 500,000 businesses and have 3 million households enabled for Prism TV service and we expect to continue to expand high bandwidth data services GPON and Prism, enabling further revenue upside opportunities. We also believe, we can continue sales momentum from the second half of 2015 and drive increased sales productivity through better go-to-market alignment, leveraging products specialist and enabling additional sales and sales performance tools and we plan to focus on winning large deals through dedicated teams and system integration and value-added resellers. We expanded our distribution partners were key to this hitting our goals and driving us revenue. One final item I am sure you saw a release this afternoon announcing our new President of Sales and Marketing and Chief Marketing Officer. We look forward to Dean Douglas and Bill Hurley, joining our team next week, and I am confident they will be key contributors to helping us achieve the actions I have just discussed. Now, I would like to turn the call over to Stewart for discussion of our financial results and liquidity position, as well as the guidance. Stewart?
Stewart Ewing: Thank you, Glen. Over the next few minutes, I will review the financial results for the fourth quarter, provide an overview of the first quarter and full year 2016 guidance, we included in our earnings release issued earlier this afternoon and conclude my remarks with a discussion of CenturyLink's liquidity position. Regarding our guidance, we are pleased that our full year expectations for 2016 are in line or better than current average analyst estimates. Now moving to Slide 11, I will review a few highlights from our fourth quarter results. Please note that I will be reviewing the results excluding special items as outlined in our earnings release and associated financial schedules. As Glen mentioned earlier, we achieved strong results for the fourth quarter and operating revenues were $4.48 billion on a consolidated basis, a nine-tenths of 1% increase from fourth quarter 2014 operating revenues. This increase was primarily driven by the increase in high-cost support revenues of approximately $60 million, due to the recognition of CAF Phase 2 support during the fourth quarter 2015, along with strength in high bandwidth data services and consumer-strategic revenues. Core revenue, defined as strategic revenue plus legacy revenue was $4.03 billion for the fourth quarter, a decline of only 0.5% from the year ago period. Strategic revenues grew 3% year-over-year, primarily driven by strength in strategic products, including high speed data services, high speed Internet and Prism TV. In the fourth quarter, we added approximately 16,000 Prism TV customers, while high speed Internet customers declined about 22,000 during the quarter, partially as a result of tighter credit standards implemented in mid-year 2015. We generated operating cash flow of approximately $1.82 billion for the fourth quarter and achieved an operating cash flow margin of 40.6%. Cash expenses for the fourth quarter declined to $72 million year-over-year, primarily due to lower employee-related costs. On a sequential quarter basis, cash expenses declined to $115 million or 4.1% from the third quarter of 2015. Free cash flow, defined as operating cash flow, less cash paid for taxes, interest and capital expenditures, along with other income, was $591 million for the quarter, adjusted diluted earnings per share for the fourth quarter was $0.80. As we have discussed in priorities earnings calls, adjusted diluted EPS excludes special items and certain non-cash purchase accounting adjustments as outlined in our press release and associated supplemental financial schedules. Additionally, as Glenn mentioned earlier, we repurchased more than 10 million shares for an investment of nearly $280 million during the fourth quarter, which completed the $1 billion share repurchase program. Moving to Slide 12, our business segment, in fourth-quarter the business segment generated $2.66 billion in operating revenues, which decrease $43 million or 1.6% from the same period a year ago. Fourth quarter strategic revenues for the segment increased 1.4% to $1.6 billion from fourth-quarter 2014, driven by continued strength in high bandwidth services such as MPLS and Ethernet, partially offset by the declines in low bandwidth data services and wholesale re-pricing. Legacy revenues for the segment declined 6.2% from fourth quarter 2014, due primarily to continuing decline in access lines and lower long-distance revenues. Total business segment expenses decrease from the year ago period, driven primarily by lower employee-related expenses and CPE costs. Our segment margin was 44.1%, which was an increase from 43.6% a year ago. Now, turning to Slide 13, consumer generated $1.51 billion in total operating revenues, an increase of $19 million or 1.3% from fourth-quarter 2014. Strategic revenues in this segment grew 6.3% year-over-year to $773 million, driven by year-over-year growth in high-speed Internet and Prism TV revenues. Legacy revenues for the consumer segment declined only 3.4% from fourth-quarter 2014 as access line and long-distance revenue declines were partially offset by selected price increases. Operating expenses decreased $17 million or 2.8% compared to the same period a year ago. Now turning to Slide 14, for first quarter 2015, we expect operating revenues of $4.40 billion to $4.45 billion, core revenues of $3.95 billion to $4 billion and operating cash flow between $1.66 billion and $1.72 billion. Adjusted diluted EPS is expected to rise from $0.67 to $0.73. Our anticipated sequential decrease in first quarter operating revenues compared to fourth quarter 2015 is primarily due to declines in legacy, hosting and low bandwidth data services more than offsetting the anticipated growth in revenues from high bandwidth data services. We expect first quarter 2016 operating cash flow to be lower than fourth quarter 2015, primarily driven by the decline in revenues I just mentioned, along with higher costs, Those higher costs include approximately $35 million from one-time favorable expense items in the fourth quarter and in first quarter $25 million of higher payroll taxes and $20 million related to higher marketing cost. For full-year 2016, we expect operating revenues of $17.55 billion to $17.8 billion and core revenues of $17.75 to $16 billion. Both are expected to be slightly lower compared to full-year 2015 expected legacy revenue declines more than offsetting anticipated increases in the level of strategic revenue growth. Our operating cash flow for the full-year 2016 is expected to be $6.6 billion to $6.8 billion, lower than full-year 2015 primarily driven by the continued decline in legacy and low bandwidth data revenues. The Company anticipates lower depreciation and amortization expense for full-year 2016 compared to full-year 2015 and adjusted diluted EPS for full year 2016 is projected to be $2.50 to $2.70. The expected lower full-year operating cash flow for 2016, along with higher cash income taxes and anticipated 2016 capital expenditures of $3 billion are expected to lower free cash flow to $1.8 billion to $2 billion. Now, turning to Slide 15, since we recently issued $235 million of debt to refinance upcoming maturities, we thought we would provide you with our plans for our maturities over the remainder of the year. Our total debt maturities for 2016 are approximately $1.4 billion. As I mentioned, in January, we completed a $235 million debt issuance with 7% Qwest Corp 40-year notes that will be used to refinance an upcoming May 1st maturity. That primarily leaves us with a [ph] debt maturity of a little less than $1.2 billion on June 1st. We expect to be opportunistic in the coming months in refinancing some or all of that debt as well at the CenturyLink parent level. It is important to note that with approximately $400 million drawn as of the end of 2015 on our $2 billion credit facility, we have the capacity to handle the June 1 maturity if needed. Additionally, since we completed our $1 billion share repurchase program in early December, we can also use available free cash flow for a portion of the June 1 maturity if necessary. As is indicated by our 2016 guidance, we expect $600 million to $800 million of free cash flow after the cash dividends, which results in our dividend payout ratio in the low-to-mid 60% range in 2016, which is very sustainable, so we are confident that our solid cash flows continue to provide us the financial strength and flexibility to meet our business objectives and drive long-term shareholder value. That concludes our prepared remarks for today, so at this time I will ask the operator to provide instructions for the Q&A portion of the call.
Operator: [Operator Instructions] Our first question comes from David Barden from Bank of America.
David Barden: Hey, guys. Thanks a lot for taking the question. I guess a couple of questions if I could. For, Stewart, just first, number one, as we can kind of look at the 2016 guide, obviously last year we had issue with kind of overestimating how the year was going to play out, so I was wondering if you could kind of talk a little about what the base case expectations that you have modeled out for the economy and sales force ramp and whether your incoming Head of Revenue Mr. Douglas has bought into the expectations and kind of your comfort level of achievement albeit number one. Second would be on the cash tax outlook and kind of the update on bonus tax depreciation, what's embedded in that free cash flow guidance? Then and last one, if I could, would just be on kind of the metered data opportunity. I think, we have been seeing a lot of the cable companies experimenting with data caps and metering higher-end usage. It seems like the SEC is not pushing back on this and it feels like it could be a big opportunity for telcos to, if nothing else, price underneath the cable umbrella and start to raise rates from high-end users. I was wondering if that is something that you guys are looking at as an opportunity and where it stands. Thanks.
Stewart Ewing: Yes. David, in terms of 2016 revenue guidance, I believe, we do feel more comfortable with the revenue guidance that we have this year from the guidance that we provided in '15. We think, we had some things in place from a sale standpoint, our funnel continues to build and look good. We have a number of big deals that are in the funnel and hopefully we can get closure with some of those. We are also working on the provisioning, the order-to-cash to get the sales that the salespeople make, provision and billing quicker and hope to be able to get that done of course over the next few months to where we can reduce our cycle times there, that will help. The other focus that we have is churn reduction, so we are working there to try to keep the customers we have and try to make some of the price declines in credits that we have been issuing smaller, so we are hopeful that we are attacking revenue not just from a sale standpoint this year, but also from the standpoint of reducing churn as well as getting the orders and to cash quicker. We also have a big deal team that we have talked about before that was launched to pursue larger opportunities. In terms of the guidance and the macroeconomic issues, I mean, we have basically have assumed that the economy stays about like it is at this point, so no real significant changes there. Glen, I will let you talk about Dean.
Glen Post: Yes. We had discussions with Dean and with Bill Hurley, and at high-level, they feel good about the over projecting sales. Obviously, they have not had the opportunity to getting the details, but I know we have had discussions with them and they believe we have upside in a lot of areas, but they have not had a chance to really to getting the details of our projections at this point.
Stewart Ewing: From the standpoint of, so just to kind of close out the revenue, we had some revenue growth this year in the fourth quarter. We did in first quarter of 2015. We would expect probably second quarter 2016, we would reach a little bit of revenue growth, but in terms we are going to be so close just in terms of projecting that we are going to get stability and growth on a sequential basis quarter-after-quarter. It is really not possible for us to do that now, but we think that with the three-pronged approach that we have to really driving revenue, keeping the revenue we have, getting customers to billing quicker, it will pay dividends for us from the standpoint of getting some real momentum in terms of our revenue growth. In terms of cash taxes, our cash taxes for 2015 were $63 million. Based on the operating income guidance that we provided for 2016, we would expect cash taxes to be approximately $400 million at the low-end of guidance and about $600 million at the high-end of guidance. As we say with the free cash flow that that results and after the operating income you result in the dividend payout ratio being in the low to mid 60s. I might add that dividend payout ratio in 2017, at this point, we would say we would be coming in the low to mid 70s, because we think that cash taxes will increase somewhat in 2017 just because of the impact of bonus depreciation will be less as it matures more. Then, David, regarding the metered data plans; we are considering that for second half of the year. We think it is important and our competition is using the metered plans today and we think that explore those starts and trials later this year is our expectation.
David Barden: Great. All right, thanks you guys.
Operator: Thank you. Our next question comes from Amir Rozwadowski from Barclays. Your line is open. Please go ahead.
Amir Rozwadowski: Thank you very much. You know, building upon the prior question around sort of thinking about the trajectory of the business from a top-line perspective, how should we think about some of the opportunities that you have in terms of reducing the cost in the business? Specifically, if you do find yourself in a position, where you can get sort of stable top-line growth, can we pull forward the expectation around the ability to return to EBITDA growth and operating income growth of the business?
Stewart Ewing: Yes. I mean, we still think that we can hopefully, after we get to some level of revenues' continued stability and growth, that we can get to EBITDA stability within 12 months to 18 months thereafter, but again as I have said many times before, the EBITDA stability is really dependent upon continued movement, continued improvement and sales of our strategic products over time and lessening the decline in the rate of legacy revenue that we receive and then also the third leg of that stool basically is to continue to control our operating expenses to get to EBITDA stability.
Glen Post: I might add t that the simplification of our processes, the automation of a lot of the end-to-end process is a single platform, orchestration platform I mentioned earlier, those are weighed with - we could take significant cost out of the business as well as create a much better customer experience, so those areas we are looking at for future cost control.
Amir Rozwadowski: Thank you very much. Then if I may follow-up on the exploration of the strategic alternatives for the data centers side, it sounds as though based on your prepared comments moving forward are well on that front. Can you talk to us about the interest perhaps you may or may not have seen in the marketplace, there have been a number of folks who have either expressed a goal to do something similar or at least have been rumored to potentially be doing something similar, so I would like to hear sort of compare and contrast what you are hearing in the market in terms of receptivity would be very helpful.
Glen Post: Obviously, we are aware of this. There is an activity in the market with folks with data centers, colocation businesses out there possibly for sale, but I can tell you this, we are seeing a significant amount of interest right now. You do not know - get the negotiations, which we hope stock gets in a couple of weeks that process, but we are seeing interest from strategic buyers as well as potential buyers and asking a lot of questions running in the data room, want to start talking with us about the opportunities. Again, you never know, but the interest level is high right now.
Amir Rozwadowski: Thank you very much. It is very helpful.
Operator: Our next question comes from Simon Flannery from Morgan Stanley. Your line is open. Please go ahead.
Simon Flannery: Great. Thanks very much. The buyback program is over. I understand you are waiting for the results of the data center, but can you just talk more broadly about your leverage target and given the credit environment adhere, how are you thinking about where you want that leverage to be over time in terms of how much of a surface free cash and how much of a data center sales might go to maintaining a sort of a three-turns would you want to bring that down under three turns over time? On broadband, can you just update us? You gave us some good stats on the speeds and the build-out there. How are you thinking about returning broadband to growth we are seeing pretty tough quarter so far for the telcos relative to K, while we touched on that in the earlier question, but you are obviously getting the speeds up there. What can you do on the channel side, marketing side to turn that back to growth and maybe you can just leave in gap- to progress into that. Thank you.
Stewart Ewing: Yes. Simon, so the leverage targets, I mean, we are still goal of about three times, but what we said is that know as the EBITDA declined somewhat, we were basically willing to go over three times if we saw that EBITDA over time was going to turn around and could bring us back to three times or lower, so you we will look at the proceeds from the sale of the data. At this point, we do not have any goal to reduce our leverage below three times, so I mean, we still think that with what we have done with our debt maturities. We have plenty of liquidity and generate plenty of free cash flow and we will wait and see what happens with respect to the data center sale and then we will decide from there what we do more or less with the $600 million to $800 million of free cash flow that we expect to have in '16 after the payment of the dividend as well as the cash associated with the potential sales of the data center.
Glen Post: Regarding the broadband, first of all, we believe that we have real opportunity to take advantage of the investments we have made in recent months in GPON and Prism, we passed now about 950,000 homes with GPON, 1 gig speeds to 780,000 of those homes. That is 17% increase from the third quarter in terms of GPON homes passed. We grew our Prism markets with GPON capabilities from 600,000 to 700,000 in fourth quarter and we are seeing really strong take rates, where we have GPON in these homes and businesses, so that is a really positive for us. We average about, right now, just in this early on, we just released that we got about 15% penetration in our GPON markets of the GPON products, so it has grown and that is just as you know we rolled out this past year. We are real pleased with that and that opportunity also gives, also, if you look at our market share data. Our market share in a lot of these cities we are in is very low. We think we have upside there going in these businesses and we are also attach or connecting more of the MDUs and [ph] within our markets that we believe give us a lot of opportunity. We have had very little market share there. More than 30% of our households that we serve are in MDUs, so that is a real market opportunity there as well that we are focused on, so there are some things we are doing, we believe, can really turn around the broadband growth.
Simon Flannery: Great. That is something remained positive adds for 2016, is it too early to say?
Stewart Ewing: I think we will. Even if it is little early, but I believe we are on a path of a positive adds in '16.
Simon Flannery: Thank you.
Operator: Thank you. Our next question comes from Batya Levi from UBS. Your line is open. Please go ahead.
Batya Levi: Great. Thank you. Two questions. First on the high speed data growth side, you saw some acceleration in the quarter. Can you provide us split for retail versus wholesale and do you expect that trend to continue in the first half of the year. Then on CapEx, can you provide some color on where that $3 billion will go in terms of different buckets and how should we think about incremental fiber deployments and any trends you could highlight in terms of cost of deployment coming down and potentially accelerating that trend. Thank you.
Stewart Ewing: Batya, in terms of the CapEx color, basically in 2016 a little bit over $2 billion or so of the capital budget, albeit, what we called revenue in hand enablement and support. Probably of that approximately $2 billion, basically broadband enablement in connection and capacity is about $1.2 or so and then the Ethernet MPLS enablement is probably about $600 million or so. You know, we are going to expect to continue to spend capital to range higher hire and invest in the access part of our business to basically be able to through either fiber or other technologies over time, be able to drive higher speeds for our customers.
Glen Post: Then, Batya, on the breakdown between wholesale and retail, we do not have that here, but we can follow-up Tony, if someone could follow with him - we just do not have it right here.
Batya Levi: Right. In terms of the trends going forward, would you still expect that to grow at high-single digits?
Stewart Ewing: Yes. As far as the - broadband growth, yes.
Batya Levi: Okay. Thank you.
Operator: Thank you. Our next question comes from Ana Goshko from Bank of America. Your line is open. Please go ahead.
Ana Goshko: Thank you very much. I think you laid out pretty well what the plan is for addressing the 2016 bond maturity, particularly with the state of the credit markets right now, but wondering one is there an interest rate level at which you in your mind it becomes prohibited to refinance that on an unsecured basis and have you thought about moving into the secured market, where you would likely get a cost of capital.
Stewart Ewing: Ana, we have looked at that and we are continuing to look at it some, and I guess we have not made really any final decisions, but at this point I mean, we would prefer to stay unsecured. Even if it might cost us a little bit more. Again, we can carry, we can really be opportunistic with this next with little less than $1.2 billion that we need to raise to refinance the Embarq maturity, because again we have about $1.6 availability on the credit facility. Additionally, our highest free cash flow quarter of the year is the first quarter, because basically our CapEx somewhat gets off to a little bit of slow start. We just have more free cash flow in the first quarter. We probably generate over 50% of our free cash flow that we are going to generate in the first quarter really. We had a lot of options and we will look at secured options, but at this point, we are not leaning in that direction.
Ana Goshko: Okay. Great.
Stewart Ewing: Not to say we would not go there over time, but…
Ana Goshko: Okay. Thank you. Then also I think I heard this correctly, so any decision on further shareholder returns beyond the current dividend? Did you say that you are going to wait until you get through the data center process and potentially through this Embarq maturity as well before you decide what to do with access free cash flow in the year?
Glen Post: Yes. Certainly, through the Embarq maturity and in all likelihood until we get much more color in terms of what is going to happen with the data center business.
Ana Goshko: Got it. Okay. Great. Thank you very much for that.
Operator: Thank you. Our next question comes from Michael Rollins from Citi Research. Your line is open. Please go ahead.
Michael Rollins: Hi, good afternoon. Thanks for taking the questions. Two if I could. Just first a housekeeping item, can you talk about why depreciation may fall in 2016? Then secondly, if you go back I think it was a few weeks ago, the Company filed a lengthy 8-K describing some changes to the Board and pointed to some maybe differences in perspective. Can you provide us with more contexts maybe to what happened and maybe some of the strategic issues that the Company may or may not be wrestling with in the boardroom? Thanks.
Glen Post: Yes. I will the first one, Mike, on depreciation. Basically, we would expect depreciation and amortization to be down somewhere between $200 million and $250 million 2016 versus 2015. About $75 million of that decline it is really a decline in the customer list amortization that we have that was really part of the purchase price adjustments related to primarily the Qwest acquisition and the Embarq acquisition as well. The depreciation rate, the decline of the depreciation really is due to some of our assets becoming fully depreciated and retired, so basically that decline in depreciation that we have that did occurred in 2015 is offset to a certain degree by the $3 billion that we expect in depreciation in the $3 million we expect to invest in 2016 in our plan, so really about $100 million to $150 million decline really related to just the depreciation part.
Stewart Ewing: Mike, regarding Joe Zimmel's departure, of course Joe made a lot of contributions to our Company. 12 years he was here, we appreciated that and wish him very best. Understanding the 8-K that we filed really in connection with and review of the Board - the nominating and governance committee recommended and the Board also concluded that Joe should not stand pre-election at the 2016 meeting. The Board felt the changed would lead to an environment with improved productivity, constructive dialogue. It was really it just that Board chemistry issues with this was and no time Joe raised any issue about the Company's accounting, our financial reporting either leading up to following his resignation. Also, Joe did not raise concerns about the Company's strategy or succession planning prior to his resignation. At least not that I am aware of - his principle complain related the process the Board used to reach the conclusion that he would not be included on the 2016 slate. I think obviously he might comments to and there is a lot details in our 8-K we filed in January 25th and you can read all of that, but that really contains exactly what happened in my view and includes Joe comments as well.
Michael Rollins: If I could just follow-up with one another question, do you keep tallies internally of the proportion of your footprint, where you have a comparable or better speed for broadband that you can mark to your customers and definitely that you can share with us in terms of what that might look like? I realize you shared us earlier some stats on GPON and some of the builds there, but more broadly, do you have a sense of just how you fully stack up against the cable competitor?
Glen Post: Firstly, yes. We have that information and we used it continually. I do not have it here. It is skill test for us. Total overall percentages and speeds, but we have in marketing department sales, we use that continually, have to identify where we build additional capacity, how we go to market with advertising and all that, pricing all that comes into play, but that is a very broader part of our analysis.
Michael Rollins: Thanks very much.
Operator: Thank you. Our next question comes from Mike McCormack from Jefferies. Your line is open. Please go ahead.
Mike McCormack: Hey, guys. Thanks. Glen, I just you still have another though I guess, on the economies. I think somebody asked earlier, but any feedback you are getting from your bigger business customers with respect to that is skittishness or nervousness on the part of making decision or slowing down decision-making. Then the second part, just on the involuntary churn in the high-speed adds, I am just trying to get a sense for what it is that is going on there and perhaps how long that might persist? Thanks.
Glen Post: First of all, Mike, on the customers' prospective economy anybody connected with - the income connected with the oil and gas business is skittish right now obviously for good reason, so we are seeing some of that in oil and gas sector. Of course it is not a major vertical. We do have customers there, but it has been a major article for us. I found that we are not seeing a lot of concerns out there right now. We see what happens the next few months, but right now we were already seeing long decision-making timeframes, by businesses the last year or so, so that is not a change and we are still seeing that, but we are not getting major negative feedback from our customers at this point in time, also the oil and gas sector.
Mike McCormack: Okay.
Glen Post: Involuntary churn on - we hope we worked in most of that fourth quarter, so we think those changes we may last year on the credit requirements and the higher prices, the price increases that we last, we think we - most of that so, hopefully we will see the first quarter that can be in the first quarter.
Mike McCormack: Were those customers, Glen, folks that had chosen some other providers and just decided to stop paying you without disconnecting or was there something else we should be thinking about?
Glen Post: It was that and just folks who never play, they are just never playing. They come in and we just gives service for three, four months and both - they want to pay and it works, we put in differ requirements.
Michael Rollins: Okay. Thanks, guys.
Operator: Thank you. Our next question comes from Frank Louthan from Raymond James.
Frank Louthan: Great. Thank you. Can you describe a little bit of the product and system simplifications that you are looking at and maybe how long that will take and ultimately the cost there. Then on the strategic review with the data center, what kind of economic benefits do you expect to see from some sort of a partnership arrangement. I asked that partly, because I have never actually seen one work, so I am curious what you think how that might work versus just now right sale? Thank you.
Glen Post: Hi, Frank. Aamir Hussain is here, our Chief Technology Officer. I will address the systems. It is a major undertaking for us. I can tell you this, we are already seeing benefits, but it will be a continual effort over next two years, two-and-a-half really. Amir, you want to…
Aamir Hussain: Yes. Both product and system simplifications are only driven by a rationalization of the products and networks and the system and applications we have. The end goal is to reduce provisioning cycle and get revenue on the door as soon as possible and we have multiple streams. We are looking at products, we are looking at processes, and we are looking at systems. Refined and used our portal platforms and consolidate multiple portals providing greater customers experience. At the end of the day, the whole lead to cash process is being looked at and every process within those processes are being combined to create a great experience for the customer. Again, such us your systems, your processes getting revenue in the door and enhancements into our current systems and processes that new technologies to be able to provide better opportunities to our sales and operations folks to provide great customers experience.
Glen Post: Regarding the economic benefits on a joint venture of the data centers has been - what you mean by joint venture, there is a lot different approaches to a joint venture, but the main thing that we would like to be able to do is continue to have wholesale opportunity within the centers that we own today. We would like to avoid the high level of capital expenditures required. We think we can drive higher returns by investing those dollars in network and other areas, so that is really our view of that. Not only that, the valuations are significant right now and we think it is a good time. We are going to consider this now for time to do it. We think it is a good business. It is good, the margins are good, we are growing this business some, so it is not we are running from it, it is just we think the ownership of the assets, we do not think we have to own those assets, so that is really areas we are looking at all the alternatives.
Mike McCormack: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from Arun Seshadri from Credit Suisse. Your line is open. Please go ahead.
Arun Seshadri: Yes. Hi. Thanks for taking my questions. The first one I just want to make sure I heard you right. I think you said your preference was to refinance the Embarq notes at the parent level. I just want to understand the rationale for that and whether you thought about sort of doing it refinancing at the Embarq level of sales or potentially at sort of intermediate wholesale as well?
Glen Post: Yes. Basically, we have been trying to - since all the acquisitions over the years, to simplify our capital structure somewhat and frankly really we have looked at the potential or refinancing out at the Embarq level. It creates another public entity that we have to do the public filings on and all and we just think it is not worth the effort of all of that as well as the rate differentials it is not that significant. We have, for the last five years or so, been working to refinance debt at Qwest Corp at Qwest Corp, the debt matures there, because it is still investment grade. Everything else is the parent's non-investment growth, so we have been moving everything up there and we think - I mean, we had grew really good rates and good execution over the year, so I mean as I mentioned earlier we will see over time if we need to go into more a secured product to get a better rates at this time we do not think we need to, but we will just monitor that over time.
Arun Seshadri: Okay. I appreciate that. As far as the cash taxes for 2017, I think you said that it would be higher than 2016, but you have sort of a preliminary number in which tune something in the 700-plus million range?
Glen Post: If you look at pre-tax at book income, possibly somewhere in the range of maybe 45% to 55% would be the effective cash tax, but it is early add and we will have to see. I mean, that I am sure will change some over the year as we get closer to '17, but it will go up some, so the benefit of bonus depreciation to us over the life of the program is a little bit over a $1 billion and we figure we got $250 million of the benefit in '15 an probably $450 million of the benefit in '16, so we have got and we will have by the end of '16 achieved about $700 million of the little bit over $1 billion deferral that we expect to get during the life of the bonus depreciations legislation and that assumes our CapEx stays at about the same level as it is today.
Arun Seshadri: Okay. Great. Thank you so much.
Operator: Thank you. Our next question comes from David Saber from Wells Fargo. Your line is open. Please go head.
David Saber: Hi. Thanks for taking the questions. Just a couple of quick ones, in looking at the supplemental info, it looks like there was a sizable working capital outflow more than 500 million. Just curious if that was not anomaly and if we could expect that to perhaps reverse in future periods. Then secondly, just back on the Embarq maturity for second, Stewart you mentioned perhaps using their revolver as a backstop, so I guess I just wanted to ask if that would be use only if the market were closed or would you perhaps look to use that even if there the rates environment is still not favorable to you?
Stewart Ewing: The decline in working capital was basically on October 1 maturity of debt that we paid off so that is why our working capital declined. In terms of the credit facility, we have said we are going to keep about $1 billion of capacity on the credit facility just for things like this. Times we are in the markets or not where we want to issues, with the free cash flow that we will have in 2016 even beyond the dividend payment of $600 million to $800 million I mean we are opposed to keep it all the credit facility for some time. If we need to in order to get about a rate and to get past, let the high yield markets feel themselves somewhat.
David Saber: Okay. Thank you.
Operator: Thank you. Our final question comes from Brett Feldman from Goldman Sachs.
Brett Feldman: Thanks. Just a quick housekeeping question, I was hoping you could give us an update on the net funding status of the pension at the end of the year and whether you anticipate making any cash contributions in 2016? Thanks.
Glen Post: Yes. Now, we will file our K. Yes, the 2016 was our target, so we will file our K in a couple of weeks and all the pitch and disclose the pages and pages of pitching it and hope that disclosure will be in there, so I really do not have that at this point in time.
Brett Feldman: Do you have a preliminary estimate to where you need to make a cash contribution or is that still being work out?
Glen Post: We do not need to make the cash contribution. We have made voluntary cash contributions of a $100 million in 2015, and I think we did the same thing in 2014. We have not made the decision. We do not need to make a decision on '16, until September before we file our tax returns, so but at this point nothing is actually required.
Operator: Thank you. This concludes our questions-and-answers session for today. I would like to turn the conference back over to Mr. Glen Post for any closing remark.
Glen Post: Thank you, Saeed. We discussed with you last quarter that we believe that our investment in network and adjacent businesses along with our organizational changes and cost control efforts were beginning to take effect and produce results. We believe we can now clear see that progress in our fourth quarter results and we plan to continue to leverage and positions our assets, help drive future revenue growth, EBITDA growth and shareholder value. Although our results may not be perfectly on in here, in the months ahead I am confident that we are on a path to long-term growth and value creation, so thank you for joining our call today and we look forward to speaking with in the weeks ahead.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program. You may disconnect and have a wonderful day.